Operator: Hello and welcome to the Stellantis First Half 2023 Results. For your information this conference is being recorded. I’d now like to turn the call over to your host, Mr. Ed Ditmire, Head of Investor Relations to begin today’s conference. Please go ahead. 
Ed Ditmire: Hello everyone for joining us today as we review Stellantis’ first half 2023 results. Earlier today, the presentation materials for this call as well as the related press release were posted under the Investor Relations section of the Stellantis Group website. Today, our call is hosted by Carlos Tavares, the company’s Chief Executive Officer and Natalie Knight, the company’s Chief Financial Officer. After both Mr. Tavares and Ms. Knight present, they will be available to answer questions. Before we begin, I want to point out that any forward-looking statements we might make during today’s call are subject to the risks and uncertainties mentioned in the Safe Harbor Statement including on Page 2 of today’s presentation. As customary, the call will be governed by Dutch language. Now, I would like to hand over the call to Carlos Tavares, CEO of Stellantis.
Carlos Tavares: Good morning, good afternoon. And welcome to all of you. Natalie and myself, we are delighted to host this session to present to you the 2023 H1 Stellantis financial results. As always, we value your time. We know that you are highly busy people and therefore we thank you for your interest in Stellantis. So let's get started. H1 2023 was an exciting period for us as we keep on building this fantastic company called Stellantis. It's a period during which we have delivered absolutely outstanding numbers, record numbers in terms of net revenues, in terms of adjusted operating income, in terms of net profit, and industrial free cash flow. Actually, net revenues were up 12%, operating income up 11%, net profit up 37%, and international free cash flow up 63%.  So needless to say that what I would like to do today, first is to thank our employees, to thank our Stellantis employees, they have demonstrated focus, resilience, expertise in fixing all the operational issues and making sure that we overcome all the headwinds that we have been facing and I will not waste any time listing the headwinds, you know them. From here I would like also to thank my management team. The management team has always been aligned, getting things done, making sure that through the execution of our strategic Dare Forward 2030 plan, we create the value that we expect. And this is perhaps the most important conclusion of this session is to say, we are alive, we are executing the Dare Forward 2030 strategic plan. It is working because it's delivering strategic numbers and record numbers as you will see through this session.  And I would like just to highlight some of those numbers before Natalie goes into details. First of all, to say that we are growing the company and we are growing our business, the 12% growth in net revenues is important. We are also growing our AOI by 11%, with very rewarding €14 billion of adjusted operating income. While we are doing this at quite high rate of AOI margin of 14.4, we are delivering a very rewarding free cash flow of 8.3 -- €8.7 billion for the first half. €8.7 billion for the first half is 63% more than last year, which is a very good measurement of the efficiency and effectiveness of the company. While we are doing this not only we are growing the revenues but we are preparing for the future. We are preparing for the future of business and highly profitable business of this company.  Our BEV sales went up by 24% year-over-year, our LEV sales went up 28% year-over-year. So 24% on the BEV, 28% on the LEV. LEV was mostly driven by the U.S. where we double the sales of our 4xe technology and PHEV vehicles. This is showing that we are moving fast forward on the electrification journey. It is showing that our growth and our profitable growth towards electrification is now on its way and we are very excited about that. While we do this, we are still in by far, the leader of the light commercial vehicle business. Our share is 30.9% in Europe and 26.8% in North America. We are leading those two markets. And in Europe, we have an outstanding BEV market share of 43%. 43% is our BEV market share in light commercial vehicles for the European market that demonstrates the appeal, the competitiveness of our products and I think the numbers speak for themselves.  Last but not least, it is fair to say that we are now giving you full visibility on our Gigafactory footprint. We have now six Gigafactories underway worldwide to reach the 400 Gigawatt hour capacity that we need by 2030. So we have now the Gigafactories in execution. And the first one has been inaugurated in May, in France. The first Gigafactory that is going to be built and now is going to enter operations from our ACC joint venture with Mercedes and TotalEnergies. So we feel good about this. We also feel very good about the fact that we could unveil to you the first STLA Medium Platform focused on BEV, made for BEV, which is bringing state of the art performance, 700 kilometers of range, 435 miles. This platform is at the top of the performance that you can find in the market with the energy efficiency below 14 kilowatt hours per 100 kilometers. This means that we are on the move, we are now executing the strategic plan the Dare Forward 2030 and the execution proves to be the right one as we are delivering record numbers.  From here, I would like to move to the North American region and make some additional comments. In North America we delivered a record profit of €8 billion euros. €8 billion despite the fact that our margin was slightly down from 18.1 down to 17.5. But the profit is there and the record profit is there at €8 billion. Our market share was slightly down. Now at 10% we face some operational issues that I will be glad to comment later on, mostly driven by a trim mix. Still some logistic issues and possibly some room for improvement in terms of the way we go to market. It is also very important that we realize that we will start this year in 2023 our BEV offensive in the U.S. market. I was sharing with you the fact that our BEV sales were growing by 24% in 2023 H1 against 2022 H1 and that is only with the European engine. We are just now starting to fire up the American engine with the BEV ProMaster BEV version that will be launched in the second half of this year. And then from there, we will accelerate this offensive reaching by 2024 eight BEV nameplates including the Dodge Charger Daytona, the Wagoneer S, the Jeep Recon, and the Ram 1500 Rev. So a lot of great highly appealing product is coming under the banner of the BEV offensive in the U.S.  We are also blessed and really blessed by the excellent outcome of the hard work of our people in improving the quality of our products. As you have seen through the J.D. Power Quality 2023 initial quality study, Stellantis took the three positions off the podium. The three positions off the podium in the J.D. Power survey were taken by Stellantis brands. Number one Dodge, number two Ram, number three Alfa Romeo. This demonstrates that the hard work that we are doing inside of the company to improve the quality and the appeal of our products, which is so important for the pricing power of our business model is now being recognized by the experts and this is very good news. So warm congratulations to our people. It is also a fact that we are number one in the U.S. PHEV sales, which is a tribute to the way the 4xe technology is being received by the market. So great stuff coming from North America.  Let me move to Europe. Europe was able to increase also the AOI to €3.7 billion with an improvement on the AOI margin of 40 basis points up to 10.7%. So we improve the quality of the business model in Europe despite many operational problems that we had to fix. Our market share was down 220 basis points to 19%. Aggregate share was down 220 basis points to 19% as a consequence of some of the outbound logistic hurdles that we had to overcome, and that we are now in a position to say that are at 95% fixed. We also announced that we would bring the Smart Car based products, and namely the Citroën Ë-C3, so the electric C2 and C3. And we are going to bring this product to Europe in 2024 at a very, very attractive and affordable price below €25,000. It's important that you understand that we will make this project not only affordable, fresh, trendy, and highly appealing to our middle class customers, but we will make that at a profit. And that is very important for you to know.  If I look at the BEV sales in Europe, we are now number three, by far number one in the LCV with 43% market share. And of course we are number one with the Fiat 500 in the A segment and number one with the Peugeot e-208 in the B segment. We are also number one as I said on the LCV. We will get from the end of this year more offering on the C segment which is going to bring us even more BEV sales in Europe as we are introducing the first products based on the STLA M platform that was presented this year in the social plant.  Moving forward our market share in BEV is now at 15.6%. It was down 200 basis points. But we see that there is a lot of potential out there and we expect this to be growing in the second half of the year. Last but not least, we are changing completely our distribution, business model, our distribution model and we move to the new retailer model. It will start life now in Q3 2023, in Austria, Belgium and Luxembourg, and also in the Netherlands. So you see, we are on the move. We recognize that status quo is the biggest risk that a company like ours would face in a fast changing world and with a strong intention that we are now executing to transform our company into a mobility tech company.  If I look at the other regions now, it is rewarding to share with you the fact that our most profitable region right now and the fastest growing region of the company is Middle Eastern Africa with 25.9% of AOI margin. We are up 850 basis points year-over-year. And we are doing this while increasing our market share by 320 basis points year-over-year. And we are now at 15.1% market share. We are the number two in the region. We will soon be fighting for the number one position. So it's a very exciting endeavor. We are reinforcing our sourcing footprint in this region. We see that we have the right products at the right level of pricing with an exciting profitability. We have a very, very important opportunity that we are now executing in Algeria and this is going to be one of the drivers that will lead us at one point in time to having 1 million vehicle capacity in Africa Middle East to support the sales and the growth in Africa Middle East. We are on our way, we are now executing, and the execution proves to be flawless.  In South America, we are the leader in Automotive Group and also in brand with Fiat. We improved our AOI margin by 30 basis points up to 14.2%. And we see that the AOI amount also improved by 7% year-over-year. The good thing about the overseas club, as I call it, the third engine or the third motor is that it's growing. It's growing profitably. We are now in the ballpark of €2.5 billion of profits to be compared with the 3.7 of Europe. And I can anticipate that within the next couple of years the overseas club is going to be the same size in profitability than Europe, which then would mean that we have three engines on our plane and not only two as we have today. This is great news and great direction to improve the business footprint of the company and protect the company from any regional crisis.  Last but not least in China, India, and Asia Pacific we could also grow our AOI margin at 14.8% and our AOI amount is also up by 9%. We are now preparing to go with the Jeep Direct online sales in China and we are growing ourselves with a Citroën Ë-C3 and Ë-C3 in the Indian production with the ramp up going quite nicely and with a very good quality from our Indian ramp up going quite nicely and with a very good quality from our Indian plants. So things are moving well on that front even though we know that it's something that will need a lot of resilience and patience to get everything aligned at one point in time.  If I move from there and I look at the brands, I have to highlight two brands on this session which is number one Maserati growing by 42% year-over-year, big success of Grecale that is driving not only the sales growth, but also the profitability as we are moving the profitability from 6% to 9%. So, this luxury brand of Stellantis is becoming more and more profitable. As you know, we want to bring it up to 15% at one point in time, and for the time being we are doing both the profitability improvement for 6% to 9% and the sales growth by 42%.  Alfa Romeo is a fantastic turnaround. Over the last couple of years, we brought the brand from red ink to a highly profitable premium brand. Now the per unit margins are quite stellar. They are where they should be for a premium brand. But in addition to turning around the business case, we also have a very strong sales growth with a 60% increase year-over-year coming from the success of Tonale. So those are two of the highlights I wanted to share with you; strong profitable growth from our luxury brands and from our premium brands of Romeo.  If I move from there, I would like to highlight also Jeep and Dodge. JEEP has introduced the Jeep Avenger, European Car of the Year. Through the order book it's a big success. We are now ramping up the sales and this is going to lead us to good numbers in the near future mostly in Europe because Jeep Avenger is introduced in Europe. But if we step back and if we look at the global LEV sales, we see that for Jeep only, we have a 53% increase in the LEV sales. So this is important, it means that the Grand Cherokee 4xe is a success in terms of growth, profitable growth, and we have ahead of us which is not yet visible in the numbers a big success coming from the Jeep Avenger BEV version that will create even bigger lift in the BEV sales growth moving forward.  At the same time, we are introducing the Dodge Hornet to the U.S. market as a sister car from the Alfa Romeo Tonale and it is very well received by the market and we are just now bringing the flow of supply that will make this Dodge Hornet also a business success in the next coming months. So very good things coming from Jeep and for Dodge given introduction of Jeep Avenger and the Dodge Hornet and already 53% growth on the LEV sales for Jeep worldwide. If I know I'll go to the core of the market, mostly the European market to mention what I have already said which means we are going to bring a profitable €25,000 B segment EV with the new Citroën Ë-C3. This will happen in Europe by early 2024. It's on the move, it's now on the final stages of industrialization. We want to make it right, we set and validate everything we need to validate. But this is going to be the first offering which is affordable for the middle classes, profitable for Stellantis, and will take a significant position in the market for the future. It's also right now the first step of our answer to what is now called the Chinese invasion in a European market. We will fight with this kind of product and we have more coming. They will all be affordable and they will all be profitable. It's important for you to know and it starts now. It starts now, we are now in the final stages of industrialization and will bring the product by early 2024 to the European market.  On the Fiat side great things are coming. As you know Fiat has been starved from new product for a long time. Now you see the Fiat product pipeline coming to the market with a cute, exciting, and perfectly fitted for the downtown mobility Fiat Topolino. Topolino is going to be a big success as a mobility tool for downtown areas in the European continent. It's going to be a profitable proposition and it's going to bring a lot to the freshness and the trendiness of Fiat in our urban areas. In addition to that, we are bringing the brand new Fiat 600e which is the B segment answer from Fiat in terms of electrification. We already have the A segment with the 500e. As you know the 500e is the leader of the A segment, I would say by far. And now we are bringing the 600e as one contribution to the B segment BEV's of the European market. This is going to make also a significant change in the business model and the business case of the Fiat brand.  From here, I would like to say that, on the affiliates business, many, many things are ongoing, they are all profitable, they are all growing, and they are all on plan. So, we have now set our business footprint in terms of sales finance. One sales finance company per country. We are growing our U.S. financial services in the U.S. and growing fast as we already have $4 billion of receivables by the end of June and we target $10 billion by the end of 2024. So our U.S. financial services are growing as planned and this is something that we launched very recently. The sales finance and leasing services in Europe are now live. We are starting now to go to the market. Circular Economy is growing by 25%. We will inaugurate this year in Mirafiori, the first Circular Economy Hub that is going to be important moment for us to explain to you in detail the different business lines that we have under this label.  Their pre-owned vehicle business is growing and growing very profitably so far with a sporty car brand that we are progressively expanding to the whole world. And in terms of parts and services, the most important part of our profit here. We are also growing in terms of top line and also in terms of density of the service network that we have under the label of Eurorepar Car Service Network. So on that front, things are growing on plan and they are highly profitable.  Moving from there, I would like to talk about the future. I would like to talk about the electrification. First of all, as you know we need to have 400 gigawatt hours of battery supply by 2030. 150 for the U.S. and Canada, 250 for Europe, and that's it. We have that contribution with the six Gigafactories that you see on the screen, three with ACC in Europe, and three in North America, one in Canada and two in the U.S. with our Korean partners. So now we are on our way, we are executing the plan, you have seen that we have fixed all the discussions we had with the Canadian government. We are now back to building the plant in Canada with our partner LG. And things are back on track, which is good with the protection that we have vis-à-vis the U.S. IRE.  It's good to know that while we are doing this and giving ourselves the capability to deliver those 400 gigawatt hours of capacity, we are so working on the raw materials. And you see here on the bottom right some of the partners with whom we have deals, some are equity deals and procurement deals, some other are only procurement deals. But what I can share with you and this is very good news is that we consider that in terms of raw material supply, we are now set up to 2027 in a safe way and we are now working to make it as safe from 2027 to 2030. So very soon, we'll be in a position to tell you that we have secured the raw material supply up to 2030 right now it's 2027. And you see that we have already in the pipe the six Gigafactories that we need to support our electrification.  If we go to the next one, it is good that we remind ourselves that our LCV business represents 33% of our net revenue. So it's a big, big business. We are leaders in Europe and we are leaders in South America. We are also leaders in Middle East and Africa and we have more than 43% share in the BEV LCV market, which means we are by far the leader. And if the electrification comes on our way, then we will lift our market share from 30% to 40% something, which is I think strategically what you want to hear from us is that we are going to improve our market share in the BEV market with our LCV dominance. We have now reinforced our leadership in this business, it's now set. We are also leading the way with our hydrogen technology with the sales we already have in the midsize van which are fuel cell based. We see that we have a big opportunity in the U.S. with the ProMaster EV that we are going to execute on the second half of this year. And we will do more in terms of connectivity. So we would like to confirm to you the objectives of Dare Forward [ph]. We will double the revenue, we will have no less than 40% zero emission mix, and we'll bring €5 billion of additional service related revenues. So big opportunity to continue to grow.  So moving forward, I know that you are always keen in listening about what are the near term challenges or opportunities that we are facing? Mostly, of course, as you will, I'm sure, bring back in the Q&A about H2. First thing we should know is that the first opportunity that we have in H2 is to fix the operational issues that we stumbled on H1. So the first thing we can do better in H2 is everything related to what created an operational issue in H1. And despite the record results, I can tell you from inside that many things went wrong. And we are sports people. As you know, we are sportswomen, sportsmen. We want to be better. We want to fix our operational issues in a more efficient way, which means that we are going to start H2 by fixing everything we did not do well in H1, and that's the first opportunity. It's an important opportunity. We know that we have tons of great products coming and that's the thing that we need to be mindful of, is that we are going to have refreshed products, including the new Citroën Ë-C3. The minor change of Peugeot e-208 and 3008 will come. We know that the Wrangler will be refreshed, the Ram Light-Duty Truck will be refreshed. So a lot of fresh product is now coming. And as you know, we are a powerhouse of brands and a powerhouse of product creation as we have around 100 models across the 14 brands. So constantly, we are managing through our product strategy the rebound of our business with fresh product, which by the way, is a fantastic tool to support pricing power, which is part of our profitability. The second thing, which is also, I would say the third one, which is also a positive is that as I'm talking to you this afternoon, we have an order book in North America and Europe, which is four-months sized. We have four-months plus of order book right now. And this is a strong order book that we have cleaned from any fake orders that could be flying around. So we have a very strong four-months plus order book right now. It is a positive thing. It's more than 2 million orders. So we have the capability to plan our production on the basis of the orders we already have. We have also seen through the recent marketing investments, that actually the response of the market to our marketing communication has been quite good each time we push a little bit more on the marketing communications. Which means what? Which means that if we have the right appealing products, if we see a good response from the market each time we push a little bit more in marketing communications, and if we already have a very sound four-month order book, we think that in terms of demand, H2 will be fine. That's what it means in terms of keeping the business running at the level of efficiency that we have, which, as you know, is very high. It's important that as I said, we fix all the things that were not completely fixed in H1. We are very close to be there on the outbound logistics issue of Europe. I think we still have one issue to fix in France, and then it will be done. The backlog of our aging orders will be normally fixed during the summer, during August, which means that from September we expect to be back on the FIFO management of our car flow. And if we are back to a FIFO management of our car flow with a reasonable inventory, then we are back to normal conditions, and that's good news for our business. It's also important that I talk to you about the UAW discussion and negotiation, as I know it's a point of focus for yourselves. So I would like proactively to share a few thoughts with you. The first thing that I think we should realize that we are doing these negotiations for our employees. It is important for our employees that we protect not only the profitability of the company that led to the payment of U.S. $14,000 of performance bonus on the basis of the 2022 results. We paid U.S. $14,000 of performance bonus to our employees in the U.S. on the basis of the 2022 results. And this was the highest performance bonus among the [indiscernible]. So it's important that we understand that we are working for that. We are working to make sure that at the end of the year, we can share that wealth creation with our employees through a performance bonus that has been set at record highs so far. So that's point number one. We are trying to protect that and trying to make sure that our employees will continue to benefit from that at the highest possible level, given the wealth creation of our company. Secondly, we need to make sure that within two or three years, we ensure by today's negotiation the cost competitiveness and the quality competitiveness of our U.S. operations for the sake of keeping that capability to pay significant performance bonus every year because the company is operating well and because the competitiveness of our U.S. operations is at the right level. And we have a list of things that we should do, and that we would like to do to improve the competitiveness of our U.S. operations. So from one side, we want to protect the ability to pay strong performance bonus as we did in the past. From the other side, on the midterm, we want to make sure that we build their conditions for that performance to be sustainable. This is why we are eager to discuss with UAW in meeting rooms, on what can we bring to the table from both sides to improve the overall competitiveness of the company from one side to get more benefits for our employees from the other side. But it is also fair to say that we are not newcomers to this industry. We have experienced people that are used to make significant negotiations with the demanding unions. We have already demonstrated that in the U.S., we demonstrated that in Germany with IG Metall's, in France with CGT, in Italy with FIOM. So we are used to those kinds of negotiations. And it's -- this is the reason why you don't see us reacting on the media about all the things that we can read because we want to discuss in a collaborative, constructive, and meaningful way behind doors, behind closed doors to make sure that we do the right things for our employees. My energy and our strategic thinking is focused on making sure that our employees see their conditions improve in the near future. We'll continue to make sure that we act as one single company moving towards our vision destination, which is set by the Dare Forward 2030 plan. And therefore, we believe that we are doing the right things as the results, the record results we are achieving are demonstrating that the strategic plan is the right one, which means we are funding the transition to electric world in an efficient way. If I move from there, I would like just to share a few conclusions here, which is my total confidence on the fact that Dare Forward is the right plan for the company in the current context. It's a transformative plan, it's a bold plan, we commit to double the net revenues, we commit to stay at a double-digit floor in terms of profitability. Actually, everything we are showing you today is supporting that not only on the growth, as you have seen, 11% -- 12% growth on the net revenues, but also on everything that relates to the free cash flow, we are committing to you to be above 20 billion in 2030, but we are already doing 8.7 billion on a half year in 2023. And last but not least, we are on our way to become a carbon-neutral company by 2038, which is very important for fighting the global warming and also very important for the young generations of our employees, and they feel good to be part of the Stellantis journey because we are contributing significantly to that fixing. So those are some of the highlights I wanted to share with you, and I want to hand over immediately to Natalie, she will give you a little bit more details and thoughtful thinking about our results. Thank you. Natalie, the floor is yours.
Natalie Knight: Thanks very much, Carlos and welcome, everyone. Let me start by saying how excited I am to join Stellantis. I see it as my job to help execute, accelerate, and communicate our bold strategic plan, Dare Forward 2030. I'm truly convinced that at Stellantis we have the resources, the culture, the drive to lead as a tech-enabled mobility provider and I'm looking forward to working with Carlos and the whole Stellantis team as we realize this fantastic opportunity. So let me start with the numbers. And on Chart 17, you will see many of the key financial highlights here that have been discussed by Carlos earlier, but now I'd like to go through them together holistically. Stellantis entered our third year determined to build on the recent momentum and we have definitely done just that in the first half, with the group posting strong top line growth while maintaining industry-leading profitability and dramatically improving our cash generation. Net revenues grew at double-digit rates, up 12% to €98 billion, most of which was driven by a 9% year-over-year increase in consolidated shipments to 3.2 million units. The adjusted operating income margin of 14.4% was within 10 basis points of last year's record high level and all regions reported double-digit margins. Finally, and as a result of this strong performance, our industrial free cash flows increased 63% to €8.7 billion.  So now that we've covered the high-level metrics, let's look next at the rest of the P&L on Chart 18. Here, I'll highlight two factors that when compounded with our strong core operating performance helped deliver that record net profit of €10.9 billion, and contributed to our 37% year-over-year increase. The first factor is the non-recurrence of three big unusual charges in 2022, the period that we didn't need to repeat this year. And those related to the cafe penalty rate adjustment for the model year 2019 to 2021, the Takata airbag recall campaign, and the impairment of our equity and shareholder loans that we had outstanding with our JV GAC in China. Second, our net financial income improved by €500 million due to higher interest earned on the strong net cash position. So let's move now to our top line growth and look at that in more detail. With 12% net revenue growth, we are again ahead of the trajectory that our Dare Forward 2030 revenue target of $300 billion implies thanks to two key drivers. The first, volume and mix was largely driven by a growth in shipments, including our deliberate efforts to normalize our inventories. I'll note here that growth in shipments, while strong, could have been even higher if it had not been for share declines in North America, due in part to certain model transitions and product portfolio rationalization. As well as delivery logistic challenges that we had in Europe, which have now largely been resolved. We expect further improvement in both of these areas moving forward. The second lever I'd like to speak about was net pricing, and this was largely a function of carryover 2022 actions, which contributed €4.8 billion or 5% to net revenues with all segments delivering year-over-year. Let's now turn to our adjusted operating income walk and the drivers of our strong €14.1 billion AOI in the first half. AOI grew by 11% year-over-year to a new six-month record with pricing being the key driver and adding €4.8 billion. This effect, combined with the positive volume impact, allowed us to offset headwinds such as mix normalization resulting from diminished semiconductor constraints, raw material pricing, which was higher due to carryover effects of H2 2022 increases, and negative FX impacts mainly coming from the Turkish lira devaluation. We can now move on to the segment performance, starting with North America on Chart 21. Here, you see that performance in our largest region underscores what I just mentioned at a group level, which is our ability to consistently deliver high margins in very dynamic markets. Indeed, our teams continue to grow shipments in H1 without compromising our ability to generate quality income through strong pricing, which continued to be our biggest driver of AOI growth. Mix impacts were moderately negative in the region, reflecting actions to meet pent-up fleet customer demand as well as lower trim and content-level choices more generally. Let's now move over to enlarged Europe and here, what we see is that during the first half, AOI margin grew 40 basis points in the region to 10.7%. Positive volumes, net pricing improvement and purchasing synergies were the main drivers. One of the key dynamics in the enlarged European region has been our efforts to relieve bottlenecks, the delivery, and the delivery logistics of our finished products. Here, we realized significant improvements compared to the second half of 2022, improving our daily average deliveries and ending H1 with an 80,000 unit increase in vehicles, physically at dealers compared to the end of 2022. Now let's talk about Middle East and Africa, the region that delivered our highest margin and revenue growth in the period. This extraordinary performance builds on recent momentum, making clear the increasing role this region will play in the group's broader growth. The AOI in the first half more than doubled year-over-year to €1.2 billion and already exceeds 2022's full year figure, thanks in part to an AOI margin that expanded to 25.9%. This profitability level was achieved, thanks to our 51% increase in consolidated shipments as our particularly high market share in Turkey positioned us for strong benefits from the country's robust volumes. Net pricing gains were also healthy, more than offsetting the devaluation of the Turkish lira. As we move on to Chart 24, let's talk about South America. In this region, where our market share is the highest in the group, we continue to outpace both the industry in sales and profitability. Net pricing and shipping volumes gains more than offset negative mix and industrial expense dynamics to help us deliver a 14.2% AOI margin, a 30 basis point improvement year-over-year. So to conclude our segment review on Chart 25, first, looking at China, India and Asia Pacific. Shipments here decreased by 6%, mainly reflecting our decision last year to switch to a more direct distribution strategy in China and the temporary headwind that this has caused due to the related sell-down of dealer stock. We nonetheless have been able to achieve an above-average AOI margin of 14.8% in the region. Looking next at Maserati shipments here. We're up 5,000 units in the first half, highlighted by the ramping of production of the Grecale SUV as well as the introduction of the Grand Turismo. Profitability-wise, the 9.2% AOI margin achieved in the first six months of 2023 showed significant year-over-year expansion. This should improve further in the second half of the year, and we are on track to deliver a sustainable 15% margin beginning in 2024.  After having reviewed the segments, let's now talk about industrial free cash flows and how we've done here in the first half period, which was another record. Starting in the prior year period where we already had €5.3 billion, you see the increases in industrial AOI and D&A, a proxy for adjusted EBITDA and the strength of operating performance. CAPEX, capitalized R&D, and other investments were almost €600 million higher year-over-year, and we expect these investments to increase further in the second half. The other big driver of cash flow improvement in the period is working capital and that includes sales incentive provision changes, where a net increase represented a headwind to free cash flow generation in the absolute, but that headwind decreased by €1.7 billion year-over-year. Now we'll move to Chart 27, where we look at inventories. And here, you can see on the left-hand side of the chart, inventories have normalized when we look at over the last 12 months, comparing those periods to the last three years. After having been depleted in connection with the unfilled semiconductor orders in 2021, we were able to replenish stock levels over the last 12 months. On the right-hand side of the chart, what you see is that a little more detail over the last quarters that we've been able to take our inventories to basically a stabilized level, and they've increased very marginally over the prior quarter. So for my final chart, we'll talk about the outlook for the remainder of the year. The strong growth and performance that we have presented here today has only strengthened our confidence moving forward. We've raised our industry sales outlook from 5% to 7% in enlarged Europe, as well as in the Middle East and Africa, following the strength of those markets in the first half. I'd also like to share some important elements we have in mind when it comes to considering revenue and AOI development in the second half of 2023. We see positive impacts year-over-year coming from higher shipments, cost synergies, and lower logistic headwinds. On the other hand, mix normalization is likely to continue, inflationary factors will continue to be felt in areas outside of raw materials, and union contract negotiations bring some inherent risks as they would in any region. So I'm happy to conclude my remarks today by saying that we are confirming our full year guidance of double-digit AOI margin and positive industrial free cash flows. Thanks for your attention, and I'll now hand it back to Carlos.
Carlos Tavares: Thank you, Natalie. Thank you for helping us understand the details of all those important numbers. I would like to conclude this presentation by just sharing with you a couple of thoughts before we move to the Q&A. First of all, we see that if we add up the opportunities that were mentioned by Natalie and myself, and the things which we did not do well in the first half, we have enough to do in H2 to continue to protect our results and our earnings from headwinds. I think this is what we can conclude from what we have seen, is that there is enough to be done, there is enough things that we believe we can do to continue to fight the headwinds if any. And there are a few that were mentioned by Natalie in the second half. So we are confident for the full year of 2023. The second thing is that we are now very excited about accelerating the execution of Dare Forward. You have seen notably on the electrification, on the raw material supply deals, the Gigafactories, the new products coming in the U.S., the sales growth rate, which is already quite significant, but could be even better. We see that there is excitement in our company and in our leadership team to go faster in the execution of our strategic plan. And why are we so excited? Because now, very concrete things come to the market, but also because we see that the execution of our plan is delivering record results, which leads me to the final comment here, which is to say our level of confidence in Dare Forward 2030 success is quite high. We believe that this plan is the right plan for the company in the current context. We believe that we are now knocking at the right business opportunities. We have -- by the way, we did not comment that many accretive business that are now moving on plan and this is good for all of us. And I'm very confident that with the fresh eyes of Natalie and the energy and the leadership of our top team, we will surprise you with very good things in the future. Thank you. Let's now move to the Q&A. We are listening to you.
Operator: [Operator Instructions]. Our first question is coming from Michael Jacks of Bank of America. Please go ahead. Your line is open. 
Michael Jacks: Hi, good morning, good afternoon Carlos and Natalie. Thanks for taking my questions and congrats on a great set of numbers. I was hoping to ask two questions, but I will limit myself to one, in which case, I'll focus on vehicle pricing, which made a strong positive contribution in Q2, again, at a group level, but there is some divergence at a regional level between the U.S., which saw a lower tailwind in Q2 in Europe, which benefited from a higher impact. How do you expect the pricing environment in general to evolve in these two regions in the second half of this year and perhaps even beyond that into 2024 and against that backdrop, what is Stellantis' pricing strategy for that environment? Thank you. 
Carlos Tavares: That's the $1 million question and thank you for asking it. I'm sure that many of our teammates would be eager to ask the same one. So let's take some time on that one. First, it is true that the pricing environment and price pressure is not exactly the same in the U.S. and Europe. It's stronger in the U.S. than in Europe. It is also clear that we don't intend to freeze our pricing. We just consider that we need to respect the value creation process of the company by being in each segment where we operate among the priciest, because we want to monetize the value that we create. So pricing power strategy is not about freezing pricing. Pricing power strategy is about extracting from the market, what we need to extract when the market recognizes for instance the excellent J.D. Power results, the appeal, the quality of what we do, and it is a matter of respect for our employees on the fact that if we have a great creative process that leads to great appealing cars, if we are working very rigorously with our suppliers and our plans to have a better quality, then at one point in time this needs to translate into a good pricing. It doesn't have to be frozen. It has to be just the priciest in a given segment, in a given market. That's what we are seeing. So we want to keep it reasonably flexible so that we find the best balance between the pricing and the growth. And you see that on the first half, we got both. We had the growth, plus 9% on shipments, plus 12% on revenues. And we had the pricing because we are at 14.4% OEM margin, which is so far, one of the best margins we have in the industry. So that fine line of adjustment is something that we are able to fine tune. It is clear that we did not do everything well both in Europe with the logistics and in the U.S. with some production planning and also with some trim mix, which was not the appropriate one for the market. So there is room there to improve and get a better market share.  So we see that the pressure in the U.S. in pricing is higher than Europe. We see that if we look at the pre-COVID period, most of the pricing we have done so far sticks. Doesn't mean that we should not adjust a few things, but it sticks -- most of the pricing sticks, which is good for our industry, it's good for Stellantis. And we believe that if we need more breathing space for our sales and marketing people to extract a better result in terms of market share in the different markets, we have to keep on reducing the costs and then bring back to the sales and marketing world, some additional breathing space that will be the consequence of our total production cost reduction. So we create more room of maneuver by increasing our per unit margins by reducing our TPC and then we give back to the sales and marketing world, some of that cost reduction to be in a position to grasp more share. That's what we intend to do. So we are not frozen, but we want to monetize the value that we create. And we believe through the appeal, J.D. Power survey results and also through the quality improvements, which are absolutely outstanding, we monetize the value that we create and that's mostly what we could say for the U.S. In terms of Europe, what we see is that there is a significant appetite, significant appetite for cars. We see that there is a very good response from the market. Each time we stimulate the market with a little bit more marketing communications, we see the response is strong. People want to buy cars. Hence, the fact that we have been surprised by the growth of the market in a couple of cases. We did not anticipate the market growth as much as it happened actually. But we see the price is sticking. We see that the response to the marketing communications is good, we see that the order book is good, and we are quite confident that we will have no problems in terms of order book for the H2. And we believe that same as the U.S. if we have some adjustments to be done, we will do them. But we will do them always looking for the best balance between the share and the profitability. And we believe that with the new products coming, there is a lot we can do and as you have seen, one of the important things that we never discussed about is that over the last three years, we did not miss any product in terms of appeal. Most of our products are but well received by the markets. They are appealing. They are creating emotions. Therefore, there is demand and there is pricing power because of the emotions that we are creating. This is what I can share with you on the pricing strategy. Thank you.
Michael Jacks: It is great color. Thank you very much. 
Carlos Tavares: You are welcome. 
Operator: Thank you Mr. Jacks. Our next question is coming from Thomas Besson calling from Kepler Cheuvreux. Please go ahead. 
Thomas Besson: Thank you very much. I'll ask one question as well, please. Can you talk about the increased merger synergy benefits at operating level [indiscernible], where we are going to see them, when is it reasonable to speak to think that this is over the next 18 to 24 months that we should see the bulk of that?
Carlos Tavares: Thank you, Thomas. Well, synergies are growing, and they are growing to a point where I don't want to continue to communicate to you synergy numbers up to a point where it is going to be difficult for my teams to imagine what a stand-alone position would be. So I think we'll be talking to you about synergies this year and then most probably we'll stop talking about that. But they are growing, and I'm sure that Natalie is eager to give you a little bit more details on this matter. 
Natalie Knight: Exactly, I am because I think this first half, we have something to be quite proud of. You know that last year, we had about €3.1 billion in the first half and this year, it's actually been €4 billion in terms of what we've been able to achieve. And honestly, I don't see any reason why we shouldn't be able to continue at a similar level in the second half. I think the other piece I wanted to call out because I know I've been hearing this a little bit, kind of through some questions we received this morning was a little bit where does that come from? You see €2.4 billion of it coming through our income statement and that's in those areas you would expect to see. It's coming on our purchasing side, that's the big area, but also reduced headcounts. We've looked at sales provision -- sales incentives and marketing costs as well. And each of those have helped us deliver it. And I think the little surprise one is been -- that a big piece of that synergies has also come on the R&D and the CAPEX side. And that's something that has allowed us as a group to be built to actually come in lower with those expenses than what we had thought, we will -- even at the beginning of this year. And our goal as always we want to be able to be spending on the future, making sure we're investing but we also want to do it in the most efficient way. And this is something where we were really able to deliver in this first half, already some benefits there.
Thomas Besson: Thank you very much.
Operator: Thank you, sir. 
Carlos Tavares: Next question.
Operator: Yes, sir. We will now go to George Galliers of Goldman Sachs. Please go ahead. 
George Galliers: Yeah, thanks for taking my questions. And I have to say with a 14.4% margin in 1H it is great to hear you say that from the inside, you can tell us that plenty still went wrong, certainly no complacency at Stellantis. But an exciting development during the first half was the unveiling of the Stellantis Medium Platform, which you mentioned has sector benchmark performance. Can I ask what do you consider the benchmark here, is it Tesla or is it an amalgamation of Tesla and some of Stellantis' traditional competitors? And today, your margins are materially above benchmark on the ICE vehicles so should we expect Stellantis to also target above benchmark margins on your best [ph]? Thank you. 
Carlos Tavares: Well, thank you, George. Two great questions. First of all, STLA Medium has been engineered to have a very efficient packaging of energy so that we offer 700 kilometers of range so that we kill range anxiety for the families that have one single car in the family. So it's capable of up to 720 kilometers of range, if my memory is correct. And it is correct with no less than 98-kilowatt hours of energy storage. At the same time, we work very hard on the powertrain line, on the transmission line to make sure that we have the highest efficiency in terms of energy consumption with less than 14-kilowatt hours per 100 kilometers. And I'm not giving you the precise number because I don't want to give that number to my competitors. So to whom do we compare ourselves when we talk about best-in-class performance. To make it simple, we compare ourselves to Tesla. We compare ourselves to the Koreans, mostly. But we always have an overview and there is nothing that we do right now in engineering in this company that is not aiming at being best-in-class. Now what may happen is that while we are doing this on a three to five years' time window, somebody else will come and do a better performance than what we forecasted, which is part of the difficulty of this kind of forecasting. But based on the forecast we have on the progress of the market, everything we do right now in engineering at Stellantis is aiming at being best-in-class and our CTO and Head of R&D, Ned Curic, is very, very heavy on that one, making sure that we make the difference through our engineering skills. Of course, it's very demanding. Of course, we have endless discussions from time to time, but it's exciting. And we are leveraging the best scientific education that we can have from our technical centers all over the world. I think actually that this is a very important topic here. So what about the margins on BEV? What I can tell you is that every electrified vehicle that we sell is highly profitable. The question that you will have, and it's a legitimate question is, when do we have the same margins? We are getting close. We are getting close, but we should be careful, because I could give you the answer you would like me to give you, which is very soon, we'll have exactly the same margins but that would be a distorted answer that I do not want to give to you. I think we will be interested in knowing what are the margins when we will consider both you and me, that we have reached a level of affordability of the BEV products that protects our customer base at a middle class level. And I think we should ensure that we have the same margins, worst case when we will be selling BEVs at a price that protects the affordability for the middle classes, which means protects the size of our customer bases. And that's the relevant point for comparison of the margins. But right now, as you may imagine, we could not be making 14.4% AOI margin if our electrified products were not profitable. They are very profitable, but they are also very profitable at the price point that is not today affordable enough for the middle classes, and that's where the challenge on the cost reduction needs to happen in the next few years to bring back BEVs to a price point that middle class can pay for and then check that we have rewarding margins for the electrification. But we are in our way, and there is no red ink in our company because that's something that on our business culture is not accepted by anybody. There is no red ink. But in some cases, we may have pricings that we will consider as being too high for the future, and that's where we are now working hard on the cost reduction of those technologies. Thank you.
George Galliers: Thank you. 
Operator: Thank you, sir. Our next question is from Daniel Roeska calling from Bernstein Research. Please go ahead. 
Daniel Roeska: Natalie, Carlos, good afternoon. Congrats on the results to the whole team. And Natalie, welcome to this fascinating business.
Natalie Knight: Thank you.
Daniel Roeska: Coming into the business, you must have had some assumptions and preconceptions about what you'd find. Could you share some of the highlights, surprises, maybe disappointments if you dare you had in your first kind of days and if I were to ask you with a fresh pair of eyes to articulate why this is the right time for investors to join into the Stellantis story and what would be the key highlights that you would point out that will drive shareholder returns over the next -- or let's say, over the medium term, right, for the next couple of years? Thanks. 
Natalie Knight: Okay, well thanks Daniel, for the question. As you know or might know, some of you, I've been here for a whopping two and half weeks. So these are very, very fresh eyes so it may be a good question to ask me next time we meet as well. But I think one of the things that I've really enjoyed is when I looked at the business, and I decided, hey, this is a place I want to join. It was looking at a company that one of the red threads in my career has always been great brands, great people and game changers. And that's something that when I look at this business, I said all those things are met and more. And I think what has really been exciting as I've gotten in and looked under the hood a little bit is seeing why is that the case. And there is something here, I think, when you look at this business, you know efficiency is our middle name. It's table stakes. It's one of the things we really care about. But it's also something where it's about growth and it's about vision and really looking at being part of this big story of how do we transition this industry into something completely different than where it is today.  So when you ask what have I seen, what I've seen is people who are 100% motivated on this topic, where there is an urgency, there's an excitement. That piece really gets me going. There's definitely as Carlos has said, there's always opportunities to improve. I think that's one of the things when I look at how will I talk even more to the investor community as we go forward, it's about sharing not just what are the things we do well but what are the things -- how do we share, I'll say, the incremental achievements in terms of giving people confidence it's not just a big dream, but they're steps along the way. And giving -- allowing people to have confidence as we make those successes that people can believe with us and our ability to deliver the bigger picture going forward.  You asked about maybe some things that I've seen that are a little under -- maybe less than where they want to be. To be honest, I haven't found much yet. There's always things we can work in -- work on. I care a whole lot about sustainability and I think that's a place where there are very nice moves at this group, but you can always do that more holistically. And when you think about it in terms of the way the market is moving, I also look at our business, and I'm really excited about the growth that we can drive in what I'll call the third engine, that piece where I think there's a big attention on Europe and the U.S., no wonder. That's where all of our business traditionally has been, but these are really places where there's an energy and there's a growth and excitement in the business that I think we're going to see develop a lot as we go forward. So those are a couple of ideas. Again, as I said, feel free to ask again in the future, I'll probably be able to give you even more insights in another half year.
Daniel Roeska: Great, thanks. I'll come back on Q3 and we can [Multiple Speakers] challenges after UAW and then we'll talk about the €60 billion -- reserve and what to do with that later.
Natalie Knight: Yes, those are not -- those are definitely on my list. No worries.
Daniel Roeska: Thanks very much. 
Operator: Thank you, sir. Our next question is coming from Mike Tyndall calling from HSBC. Please go ahead. 
Michael Tyndall: Yeah, hi. Thanks for taking my questions. I wonder if I could just pick up on a comment you made in the preamble around FIFO. Were you talking about orders and is there a potential here where if you are filling orders that have just come in simply because of the logistics issues that perhaps some of those orders that are sitting further back in the backlog maybe have less favorable pricing. So just wondering what impact, if any, we might see as you kind of normalize going into September, as you mentioned?
Carlos Tavares: Well, that's a very great question. First of all, let me tell you what I share with my people when we are talking about pricing. When you are in a pricing period or pricing volatility period, we say that the first one to price up and the last one to price down is the winner, which means that when we look at what happened since the beginning of the semiconductor supply crisis we were among the ones that priced up the first. And we are certainly the ones that are resisting the most to the deterioration of the pricing power, which means that even if we are addressing, even if we are addressing what we call internally the backlog which is aging orders, we are talking and I can share this number with you about what. We are talking about around 100,000 to 150,000 orders in a total order book of 2 million orders. So we are talking about limited part of that, but we respect all of those customers, and we want to bring those cars fast in their hands. That's what we are doing right now. And those cars are part of a time window where the pricing was quite high. So we don't expect the fact that we are delivering, shipping those cars in the very near future to have a negative impact on our earnings because those cars are part of a time window during which the pricing was quite high. And of course, we want to serve our customers, and I would like to take this opportunity to apologize to them and to thank them for their loyalty. We really appreciate their business and we are doing our utmost efforts to clean those aging orders. And from the plan I have in my hands and checking every week, that should be done by the end of September. And there is a big part of it, which will be done in August. We decided to reduce the summer break of some of our plants in August to increase the production in August and make sure that we deliver those aging orders to our customers. And again, I want to thank them for their loyalty and apologize for the inconvenience. We are fixing that from there. Then the FIFO is back which means the dynamics of the logistics, the dynamics of the car flow management are back. We are back to normality. We should not forget that this is the consequence of the big distortion that we created in the manufacturing plan when we had to make cars with parts we had and avoiding to make the cars because we did not have the parts. So that created a huge mess in the car flow, keeping aside the orders for which we didn't have all the parts and bringing immediately in the production plan, the orders for which we had the part. So at the end of the day, we have a miscellaneous of very different ages of products in the pipe, and that is creating a loss of efficiency of the outbound logistics. First, it was the capacity, it's now fixed 95%. And then it's getting rid of the backlog and making sure that we respect our customers who have aging orders. That's what we are doing. It looks basic -- for a company of our size this is a very complicated stuff. And again, I would like to thank my supply chain teams, they have been working relentlessly day and night for a very long time to fix all of this. And it's tough, but they are getting things done, and I really appreciate that and thank them warmly for what they are doing for the company. Thank you.
Michael Tyndall: Okay, thank you. 
Operator: Thank you, sir. The next question is coming from Jose Asumendi calling from J.P. Morgan. Please go ahead. 
José Asumendi: Thank you. Hi, Carlos and welcome Natalie. Just one question, please and congrats on the results and the very strong pricing you showed in the first half. Just coming back to the topic of the Chinese invasion in Europe, Carlos, can you share your thoughts as to how you're going to plan to compete in this €25,000 price segment. You mentioned the product introduction of the Citroen there, but can you give us a bit more color as to how you plan to compete in this segment on battery, on electric motor, and the value chain? And also connected to this topic, do you think you will be able to really sign an entry into the Chinese market in the next two years in the light of the offensive we have from Chinese exports into Europe? Thank you. 
Carlos Tavares: Well, thank you, Jose. Those are great questions. Certainly, those are Darwinian questions. I think the problem that needs to be solved by the Western carmakers operating in high-cost countries is very simple. Can you make sub €25,000 cars profitably to ensure that we have a safe, clean, and affordable solution for the middle classes of the western world? I was asked by some of my U.S. teammates, what was an affordable EV in the U.S., well, not very different, around $25,000. What does that mean? It means that we need to come up with a sourcing proposal that allows us to sell those cars like the Citroën C3 at the 25k or less in a profitable manner.  So you have two ways to get there or a combination of the two. One, you find breakthroughs in design to cost, breakthroughs in terms of battery technology. And from there, you make the difference on the total production cost by those breakthroughs, which are let's say technology-driven and/or you use the same cost structure as your Chinese competitors, which means you need to have an LCC sourcing that is as competitive as the Chinese sourcing. And I'm here making the assumption that there are no specific subsidies for the Chinese carmakers to be more competitive abroad than what they are in their domestic market.  So it is very simple. You understand this very well, Jose. If you want to make a Citroën C3 profitable at less than €25,000 and you'll see the final pricing will be below that, you have to have a very competitive cost structure, which means a significantly LCC based cost structure. In addition to that, you need to be working with the best battery suppliers in the world that offer you the best package in terms of energy, cost, and weight. We believe that we have now the right formula using the Smart Car Platform strategy that you know because we have been working on this for several years. We are blessed with the fact that we are ready at the moment when the Chinese come because, in fact, we launched this initiative six years ago. And it took a lot of time to get things done because it was not an easy task. But now we are here. So in a nutshell, what we say is that if you want to fight against the Chinese right now in Europe, you need to have an LCC sourcing strategy, which means having the same weapons as the ones they are using, and you need to be working with one of the best -- one of the best battery suppliers in the world to have the best cost per kilowatt hour of embarked energy. We believe we have that formula.  By the way, we also proposed to the French government that we will have a social leasing with a monthly fee of around €100 per month as a monthly fee to support the mobility of the middle classes, and that proposal is also profitable, thanks to our very strong sales finance and leasing entities. So that's where we are. And we think we are blessed with the fact that we are already at the right timing. That's a blessing for us. In terms of products, we have a lot of products coming in the next two years. As you know, we will have, by the end of 2024, no less than 47 BEVs on sale, 47. It is a big -- almost half of our model portfolio. It will have very strong dimension in the U.S. where we started the BEV offensive in the U.S. from the second half on the ProMaster EV. Then we'll have the Dodge, the Jeep Recon, we'll have the Wagoneer S. We have a lot of products coming and a lot of refreshment on the European side. And of course, by the end of this year, most importantly, we will have the first applications of the STLA Medium Platform, which will be focused on the C segment. It's important because right now, we are the leaders in the A segment. We are the leaders in the B segment. We are the leaders in the LCV but we are lacking product offering in the C segment. And that shortfall of BEV based product offering in the C segment is now going to be fixed by the end of this year. So exciting stuff ahead, Jose. Hopefully, we'll be able to talk about it in a few years and say, well, it worked, hopefully. Let's see. Thank you.
Operator: Thank you much, sir. Ladies and gentlemen, due to time constraints, we only have time for one more question. And the last question today is coming from Mr. Stephen Reitman of Societe Generale. Please go ahead, Sir. 
Stephen Reitman: Yes, thank you. I'd just also like to keep developing that point about the unicorn of the cheap battery electric vehicle. Obviously, a lot of attention on that and particularly on the big U.S. guy doing that. But obviously, in January, you unveiled the Ë-C3 in India with an incredible price of about €13,000. I'd just like to know what kind of steps you take to bring this car to Slovakia and still keep it at an affordable level and what changes do they need to undergo in order to be European combined? Thank you very much. 
Carlos Tavares: Thank you. That's a great question, Stephen. In fact, if you bring the car to Slovakia, you are inside of Europe, which means you are protected from any attempt to put a carbon tax on it because it's part of Europe. I'm here making the assumption that we are not going to break down Europe by creating custom duties inside of Europe, which then would mean some other more damaging things. But we are able to generate a very strong LCC sourcing on parts with a very competitive manufacturing cost out of Slovakia, which means we don't have to be outside of the EU to be generating LCC kind of competitiveness -- cost competitiveness, because there is a lot of dispersion inside of Europe on the manufacturing cost and the sourcing costs. To give you a simple number, it's from -- you have a threefold factor of dispersion in terms of manufacturing costs within Europe. It's a big, big dispersion, which means you have LCC sourcing in Europe that protects you from carbon taxes or custom duties because it's part of Europe. And of course, we need to generate local content, which we can, of course, in a competitive manner. So we make sure that at the end of the day, we have a very competitive total production cost, a very competitive distribution model. We have already a very competitive sales finance and leasing business that supports the monthly fees. So at the end of the day, as you know us, you would not imagine that we would be proposing this just for the sake of waiving a competitive price. No, we do it because it's profitable. And by the way, when we will start doing it, I think there is still room to improve the cost moving forward. Certainly, it's challenging, but it's the right thing to do if we want to bring clean, safe, and mobility for the middle classes of Europe.  So I feel good about that. It's not going to be only one product. It's going to be a family of products. So we will bring more, which means it's not going to be a one-shot announcement. There will be several announcements moving forward and all of them will be, of course, profitable. So I'm very confident that we are able to fix that affordability issue for the middle classes. Thank you, Stephen.
Operator: Thank you, sir. As we cannot take any further questions I turn the call back over to the speakers for any additional or closing remarks. Thank you. 
Carlos Tavares: Well, first of all, we are blessed with your questions and I'm so happy to be here sitting in front of you with Natalie, who is going to bring us a different perspective, a fresh perspective on the many things we think we know, and perhaps we don't. That's good. That's part of the transformation of our company. It's part of the recognition that we should not continue to kick the can down the road. The world is changing. Many things are changing, and we are really blessed with the fact that Natalie accepted to join the team to bring us this fresh perspective, and it's already visible. So thank you, Natalie, for joining and thank you for that. I also think that we have the right strategic plan because the execution of the strategic plan is delivering record results. So what is the best way to demonstrate the plan is correct is that the results are there. And then we can manage this transition without putting ourselves at risk and without asking any additional support to any of our shareholders. It's rather the reverse. We are creating the conditions to reward our shareholders in a meaningful way, and that's good for all of us. So I just want to tell you that this team is focused on performance. And this team is confident about executing the transition, the transformation, which is not an addition. And we are doing this as one single company. There is no old co, new co. This is one co moving at the same pace in the same direction and putting all the energy, all the expertise, all the team working on one single direction, which is to make Stellantis win. And we'll see in a few years how many competitors will have to continue to play with. That's going to be the wildcard that, of course, you have to answer to. But thank you for your support. Thank you for your time. Thank you for your interest, and see you very soon.